Operator: Good day, ladies and gentlemen, and welcome to The Clorox Company third quarter fiscal year 2009 earnings release conference call. (Operator Instructions) I would now like to introduce your host for today's conference call, Steve Austenfeld, Vice President of Investor Relations for The Clorox Company. Mr. Austenfeld, you may begin your conference.
Steve Austenfeld: Great, thank you. Welcome, everyone, and thank you for joining Clorox's third quarter conference call. On the call with me today are Don Knauss, Clorox's Chairman and CEO, Larry Peiros, Executive Vice President and Chief Operating Officer of Clorox North America, and Dan Heinrich, our Chief Financial Officer. We're broadcasting this call over the Internet and a replay of the call will be available for seven days at our website, TheCloroxCompany.com. On today's call Larry will start with some specific comments on business unit performance, including perspective on the current consumer and retail environment. Dan will then follow with a review of our quarter's financial performance, as well as details on our updated fiscal 2009 outlook as well as our initial outlook for fiscal year 2010. Finally, Don will close with some comments on Clorox's near-term strategic focus before we then open the call up for your questions. Let me remind you that on today's call we will refer to certain non-GAAP financial measures including but not limited to free cash flow, EBIT margin, debt-to-EBITDA and economic profit. Management believes that providing insights on these measures enables investors to better understand and analyze our ongoing results of operations. Reconciliation with the most directly comparable financial measures determined in accordance with GAAP can be found in today's press release, this webcast, prepared remarks, or supplemental information available in the financial results area of our website as well as in our filings with the SEC. In particular, it may be helpful to refer to tables located at the end of today's earnings release. Lastly, please recognize that today's discussion contains forward-looking statements. Actual results could differ materially from management's expectations. Please review our most recent 10-K filing with the SEC and our other SEC filings for a description of important factors that could cause results to differ materially from management's expectations. With that let me turn it over to Larry.
Larry Peiros: Thanks, Steve. Good morning to those of you on the call. As you saw in our press release, we had a very strong quarter, with sales equal to a year ago and margins exceeding our expectations. Net earnings were up an impressive 53% versus the year ago quarter. All in all, we're very happy with our performance in this extremely challenging environment. I'm going to focus on market share, volume and sales and provide perspective on [inaudible] our top line results. Starting with our categories, consumer consumption remains relatively stable despite the economic downturn. Consumer takeaway in U.S. tracked channels was up about 1% versus the year ago quarter and our sales growth in the untracked customer base is significantly outpacing sales in the tracked universe. We did see some mixed results in our market shares. In the eight categories we measure in the U.S. we grew our health share in four categories and lost share in the other four. That said, our overall share across all of the categories was down only 0.2 share points or essentially flat. Share declines were generally due to pricing actions we've taken and some limited growth in private label shares given the economic environment. Market share performance continues to be one of our top focus areas and we plan to invest more heavily in Q4 to keep our brands strong. Volume for the quarter was down about 3% and right on our forecast. Volume declines were primarily due to the impact of price increases and our exit from the private label food bags business. Volume declines due to pricing were in line with our projections. Sales for the quarter were flat on top of a very strong 9% sales growth rate in the year ago quarter. Unfavorable foreign exchange rates reduced sales by 3 percentage points and our private label food bags exit reduced sales by another point. Excluding these factors sales grew 4%. As usual, results varied across our categories and the stories are quite different at a more granular level. In our largest category, Homecare, we held share and maintained our number one overall share position. Homecare sales were down mainly due to lower volume resulting from price increases. The Green Works line continues to perform well overall, while the growth in the natural cleaning category has slowed as we lap our initial launch, the category still grew 20% and our Green Works share remains stable. Green Works wipes are meeting expectations and our dishwashing liquid holds a strong number on position in the natural dishwashing segment. We had a lot of exciting Green Works and sustainability activities in April in support of Earth Day and we will continue to introduce new items to build on this successful franchise. Brita also continues to benefit from the sustainability mega trend and consumers' focus on value given the significant savings Brita provides versus bottled water. The brand delivered strong volume and sales growth in Q3 behind strong advertising and merchandising support. Water filtration remains one of our fastest-growing categories. In Food we continue to win with Hidden Valley Ranch in the salad dressing category. Despite a significant premium to the competition, Hidden Valley delivered all-time record volume and continued to grow share in Q3. Our brand strength is due to great-tasting products and strong and effective advertising support. Turning to Burt's Bees, as expected, volume and sales were down on top of an extremely strong year ago quarter. Growth in the natural personal care category has slowed due to the weak economy. We also saw continued impact from retailer inventory destocking. While we're not happy with these numbers, we remain confident about the fundamentals of this business and the long-term prospects. Natural personal care continues to grow faster than traditional personal care. Burt's Bees has a strong and loyal consumer following. We remain the share leader in the natural personal care category by a significant margin and we are still gaining new distribution in the U.S. and expanding into International markets. Once the economy improves we believe we'll see a return to very strong growth in this business. Glad was again our most dynamic business in Q3. As we have said repeatedly, this is the one business where we are most likely to have pricing driven by commodity costs. We got a positive response to our December 1st price rollback of 10% on Glad trash bags; however, given the sustained lower pricing on resin that led to further competitive price reductions, our share has again declined. In response, we're taking additional 7% price rollback on Glad trash bags effective today. With this rollback the price of Glad trash bags to our retailers is the same as it was back in January 2006, more than three years ago. This new pricing makes us more competitive on shelf and also clearly reflects the dramatic decline we have seen in resin costs. Resin now appears to have bottomed out and a few resin price increases have recently been passed through in the market. We believe capacity reduction by suppliers will maintain stable if not higher prices over time. This is expected to limit further price reductions by competitors. Glad sales were down in the quarter, but gross margin improved significantly due to the lower resin and aggressive cost savings. We're continuing to invest heavily in advertising, including a new value-oriented message.  In our Laundry business we're executing well and starting to see some positive momentum. Laundry sales increased in Q3 driven by more effective advertising and an increase in merchandising events. Gross margin improved significantly behind cost savings, price increases and lower commodity costs. Shipments of Clorox II were up strongly for the third consecutive quarter behind the 2X concentrated reformulation and the shift in positioning to stain fighter and color booster. Although Clorox Liquid Bleach shipments and share declined versus the year ago quarter, we are seeing a sequential improvement in trends. We believe our marketing initiatives highlighting the benefits of bleach versus detergent alone and cost-effective non-laundry uses are starting to turn around this business. In our International segment volume was up 2% and sales declined 1%, which included a 14 percentage point decline due to foreign currencies. We continue to see category growth in our International markets, although the category growth rates are slowing. We are executing price increases in many markets to offset the inflationary impacts of weakening currencies. We believe slowing category growth will likely continue until calendar 2010. That said, we hold leadership position in most of our International categories and are in a good position to weather the storm. Looking forward across our portfolio, we'll likely continue to see modestly reduced consumer demand and trade downs due to the challenging consumer environment; however, we do not expect our categories or brands to be dramatically impacted. We believe that in tough times strong leading brands like ours can continue to win with both consumers and our retail customers. Many of you asked how Clorox's brands may fare as private labels grow and retailers look to reduce items on the shelf. Thus far the strength of our brands and the quality of our marketing efforts have resulted in no meaningful shifts in distribution. In some cases private label has gained distribution points, but at the expense of tertiary brands. In categories like bleach and charcoal Clorox has a long, successful history of high-share leading brands competing against a solid private label offering. We believe Clorox will actually be in a strong position as retailers look to simplify their shelves. Wrapping up, we feel good about our brand performance in the quarter. We believe our portfolio is well positioned to manage through this challenging and dynamic environment, and we also believe that our organization has shown the capacity to drive results even in the face of very tough challenges. With that I'll turn it over to Dan to take you through the financial results.
Dan Heinrich: Thank you, Larry. I want to provide some perspective on our third quarter financial results and our fiscal year 2009 outlook as well as our plans for fiscal year 2010. Lots of puts and takes but before I get into the details let me step back and highlight several key messages that cross all of those time periods. First, we're pleased to finally be back on the path to annual gross margin improvement. We've weathered five years of increases in commodities and energy costs that we could only partially offset with cost savings, pricing and favorable business mix. Through the end of fiscal 2008 we'd lost more than 500 basis points from our fiscal year 2003 gross margin of 46.3%. Even with this fiscal year's anticipated gross margin expansion, we'll remain well below our historical average. Frankly, it feels good to finally be showing positive annual margin growth numbers after five challenging years. We anticipate further margin expansion in fiscal 2010. Second, we're continuing to invest in the long-term health of the business. While we're certainly focused on delivering good results each quarter, we're also committed to having a very healthy and vibrant company when we celebrate our centennial birthday in 2013. Despite obvious pressures in this environment to reduce spending levels and investments in projects that have longer-term payouts, we're continuing to strongly support our brands with advertising and meaningful innovation and we're investing in our infrastructure, such as our homecare plant consolidation, operating model changes and information technology. I'll talk more about that in a moment. Third, we're very pleased with our continued strong cash flow and the progress we're making in paying down our debt. Strong cash flow has always been king, but even more so in this difficult economy. Strong earnings and disciplined management of both capital spending and working capital are allowing us to paydown debt and reinvest back into the business, which will give us flexibility going forward. And lastly, while the economy and overall volatility are major challenges and the competitive intensity remains very high, we believe we're reasonably positioned as we finish this fiscal year and enter fiscal 2010. Now let me discuss the third quarter. Q3 marked the first time in the last seven quarters where we've seen year-over-year expansion in our gross margin. This quarter commodity costs remained high in the absolute, but came in about flat to the levels in the year ago quarter. With commodity costs now moderating, our strong cost savings and the continuing benefit from pricing drove our margin expansion in the third quarter. Total gross margin expansion this quarter was about 550 basis points. Excluding the net impact of restructuring and the Burt's Bees inventory purchase accounting adjustments in the year ago quarter, our gross margin expanded about 390 basis points. We anticipating seeing modest year-over-year declines in commodity and energy costs in the fourth quarter. Our third quarter operating profit was ahead of our projections. Cost savings came in stronger for the quarter and we now project higher cost savings this fiscal year than previously estimated. Our selling and administrative expense was favorable as we continued to tightly control spending and started to see some early productivity benefits from our operating margin changes. These favorable factors were partially offset by an increase in incentive compensation accruals due to our strong Q3 performance. While we've increased incentive compensation accruals, we continue to anticipate that total incentive compensation expense this fiscal year will be lower than last year. We're very pleased with the increase in our operating cash flows for the quarter. Our cash flow from operations was $232 million or 17% of sales compared with $165 million or 12% of sales in the year ago quarter. The increase in operating cash flow was due to higher net earnings and improved working capital levels. Free cash flow for the quarter, which we define as cash flow from operations less capital expenditures increased to $181 million or 13.4% of sales. We continued to used cash on hand and free cash flow to pay down debt during the quarter. At March 31, 2009 our debt-to-EBITDA ratio was 2.85 to 1. Let me now turn to our fiscal 2009 financial outlook. We're modestly lowering our full year sales growth outlook but increasing our diluted EPS outlook range. We're narrowing our full year sales growth outlook from 3% to 5% to 3% to 4%. This modest lowering of the sales growth range primarily reflects the increased impact from weaker foreign currencies on the top line. This also reflects the Q4 impact of our second price rollback on Glad, which we anticipate will be mostly offset by higher volume over time. Just as a reminder, in the fourth quarter we'll be comparing against a very strong year ago quarter, when we delivered 11% sales growth and 6% volume growth. We're increasing our fiscal year 2009 diluted EPS outlook range to $3.70 to $3.80 from our previous range of $3.60 to $3.75. This increase reflects higher gross margin expectations, seen mostly in our Q3 results, partially offset by weaker foreign currencies and increased advertising and other spending in Q4. For fiscal year 2009 we now expect gross margin to increase by 140 to 160 basis points, reflecting higher cost savings and moderating commodity costs. Cost savings are anticipated to be in the range of $115 to $120 million versus our earlier estimate of $105 to $110 million. We're now projecting total commodity and energy cost increases will range of $110 to $120 million versus our previous estimate of $140 to $150 million. We anticipate that our fourth quarter gross margin will continue to expand versus year ago, but by a lower amount than we saw in Q3 due to a higher year ago base. We're projecting higher advertising spending in the fourth quarter, likely toward the higher end of our 9% to 10% target range, as we increase our level of brand-building support. In addition, our selling and administrative expenses in the fourth quarter will also include about $3 to $4 million in incremental spending related to several new information technology systems projects. The largest of the projects involves installing our SAP system in our International locations. The International SAP systems project, which begins here in the fourth quarter, will extend over the next three years at a total estimated cost of about $30 to $35 million, some of which will be capitalized and amortized. Our fourth quarter results will also be reduced by approximately $12 to $14 million of pre-tax foreign currency transaction losses. These transaction losses relate to the repatriation of funds from several international countries and the conversion of certain local currencies to settle U.S. dollar-denominated raw material and finished goods purchases, with most of the losses related to Venezuela. Let me now turn to our fiscal year 2010 financial outlook. On last quarter's earnings call I provided you with some of our preliminary thoughts on the factors that will impact our fiscal year 2010 outlook. Let me update you on some of our assumptions. We anticipate that global financial and consumer markets will remain significantly pressured through the first half of fiscal 2010, with an economic recovery beginning in the U.S. in the second half of our fiscal year. We expect that recovery to be very modest. We estimate that the recessionary impact in overseas markets and the related recovery will lag the U.S. Consequently, we project further slowing in International category growth rates to about flat. Based on foreign currency forward market pricing curves in the mix of countries we operate in, our outlook assumes we'll continue to be negatively impacted by weaker foreign currencies. We're likely to see significant negative currency impacts in the first half of the fiscal year until we lap the currency declines in fiscal 2009. The forward market curves in our outlook also assume some further modest declines in certain currencies through the second half of the fiscal year. Most of the modest pricing benefit we've assumed in fiscal year 2010 will be from our International businesses as they price to recover some of the margin and profit impacts from weaker currencies. We expect the negative impact on volume growth from fiscal year 2009 price increases will subside as lap those increases. New product introductions will also help support volume growth. The competitive environment remains very intense and consumers remain under significant pressure. We'll focus on making sure we're providing our consumers with significant value at affordable prices. We'll continue to closely monitor our market share and price gaps versus competition and we'll take appropriate actions if needed. We do anticipate an increase in fiscal 2010 trade merchandising spending to support new product launches and address any price gap issues that may arise. We anticipate substantial benefits from lower commodity costs in fiscal 2010; however, the current market prices for a number of the commodities we use appear to be rising from the recent market lows. In certain markets manufacturers are pulling back on production capacity and supply in response to market conditions and we're seeing reductions in supply as financially troubled suppliers exit the market. Our outlook assumes that certain commodity costs will modestly increase in fiscal 2010, particularly in the second half of the fiscal year, when we believe a very modest economic recovery will begin. Commodities currently experiencing or likely to experience price increases include wood char, liner board, clay, pine oil and many other smaller inputs we use. In addition, our commodity hedging and contracting techniques will moderate the benefit from lower commodities and energy costs as we lag some of the price increases on the way up and we'll lag some of the price decreases on the way down. For fiscal year 2010 we anticipate that commodity and energy costs will be very favorable in the first half of the fiscal year as compared with the first half of fiscal 2009. We expect the benefit from commodities in the second half of the fiscal year will be less as some commodity prices begin to increase off of recent market lows, including resin, and we start to anniversary the moderating commodities cost in the second half of fiscal year 2009. Now given all those planning assumptions, our fiscal year 2010 financial outlook is as follows: We anticipate total company sales growth will be in the range of 1% to 2%. Netted in this range are negative impacts of about 1 percentage point for increased straight merchandising spending and about 2 percentage points from lower foreign currencies. The sales growth range also assumes about 1 percentage point of pricing benefits, again primarily from our International businesses as they price to recover some of the negative impact of inflation from weaker currencies. Excluding the 2 percentage point impact of foreign currencies, we're projecting 3% to 4% constant dollar sales growth. We anticipate the company's gross margin will increase in the range of 50 to 100 basis points on top of the 140 to 160 basis point improvement we're projecting for fiscal 2009. The fiscal 2010 range assumes about $90 to $110 million of lower year-over-year commodities and energy costs. Our margins will also benefit from about $115 to $120 million of total cost savings. This range includes about $25 to $30 million in anticipated benefits from the operating model changes we discussed with you on last quarter's call. About $85 to $95 million of cost savings benefits are estimated to be in cost of goods sold. Partially offsetting the savings will be normal inflationary pressures on things like wages, benefits, and plant operating costs, as well as weaker foreign currencies. The net impact of these items is likely to negatively affect gross margin by more than 200 basis points. For fiscal year 2010 we continue to anticipate about $20 to $30 million in restructuring-related charges, including the incremental cost associated with our operating model changes. About $10 to $15 million of the charges are estimated to be in cost of goods sold. Selling and administrative spending will benefit from the projected operating model savings I just mentioned. These anticipated savings will be more than offset by higher incentive compensation expense compared with fiscal 2009, higher pension costs, information technology project spending, and the normal inflationary pressures from wage and benefit increases. Advertising and sales promotion will be solidly in the range of 9% to 10% as we continue to strongly invest in our brands, support new product introductions and expand Burt's Bees. We estimate free cash flow will be in our target range of 10% to 12% of sales. This range includes the impact of an estimated $30 to $40 million pension contribution we'll be making in the first half of fiscal 2010, which is in addition to the $30 million contribution we're making in the fourth quarter of the current fiscal year. Our priorities for using cash flow continue to be supporting our dividend and paying down debt. Our outlook does not currently assume any share buybacks in fiscal 2010. As I mentioned, the current volatility of foreign currencies makes it difficult to predict their exact impact. It's also difficult for third parties to translate the estimated top line impact of declining foreign currencies on our net earnings due to the mix of U.S. dollar and local currency expenditures in the countries where we operate and the extent and timing of transaction effects. To help with your analysis, our fiscal year 2010 EPS outlook assumes more than $20 million of after-tax losses from the combined impact of foreign currency translation and transaction losses. Net of all these factors we anticipate fiscal 2010 earnings per diluted share in the range of $4.00 to $4.15. This EPS outlook range represents very solid growth in fiscal 2010 on top of the strong double-digit growth we're projecting for fiscal 2009. Before I turn the call over to Don, I'd like to comment on the likely differences between our projected financial performance in the first half of fiscal year 2010 versus the second half of the fiscal year. Our sales and volume are likely to be pressured in the first half of the fiscal year. We anticipate the impacts from the economic recession, weakening International markets, weakening forward foreign currencies and an increase in trade merchandising spending to support new product launches will have a much greater impact in the first half versus the second half of the fiscal year. In particular, our fiscal 2010 second quarter volume and sales will be negatively affected by several product improvement launches that will require hard conversions. Hard conversions require that the existing stock of the old products be sold through before retailers take delivery of the new products. We anticipate these conversions will result in Q2 sales and volume declines ahead of the new product transitions, which will recover in the second half of the fiscal year. For competitive reasons we're not providing details on our innovation plans at the time, but we'll do so in the future. We also anticipate margin expansion will be higher in the first half of fiscal 2010 than the second half as during the first half we'll be favorably comparing against much-higher commodity and energy costs in the first half of fiscal 2009. In summary, we had a very strong quarter despite very weak economic conditions. We're projecting that our fiscal year 2009 results will be better than previously anticipated and we're forecasting solid financial performance in the fiscal year 2010. Based on what we know today, I believe we're being prudent in terms of our fiscal year 2010 plans and assumptions. Let me now turn it over to Don.
Donald Knauss: Thank you, Dan, and hello, everyone. While as both Dan and Larry discussed, we did have a very strong third quarter performance, I think the last few years have brought, as we all know, significant volatility from commodity and energy cost increases, price increases and certainly dramatic changes in foreign currencies. I certainly feel that we've managed very well through these turbulent times and that we're well positioned to weather the very weak global consumer and economic environment we're likely to see through fiscal 2010. I'd say I'm particularly pleased with the great job our folks have done to drive excellent results in this really tough environment. Now looking ahead, I certainly feel good about the plans we have in place and I believe our long-term strategies are certainly appropriate for the current market conditions that are out there. First of all, we're going to continue to focus on outstanding execution against our centennial strategy. We're implementing a new operating model, as you all know, designed to enable better and faster execution of our strategy to build brands and, again, focus on market share grain. Third, I believe we're doing as good a job of anyone in recognizing and capitalizing on key consumer trends, including health and wellness, sustainability and the ethnic shifts going on in this country and other markets. Fourth, we're staying focused on achieving 60/40 blind product wins with consumers and we feel very good about our new product pipeline for fiscal year 2010, and we certainly have strong customer capabilities that our retail partners particularly value, especially in these times. And finally, given the current economic environment, we remain very focused on reinforcing our value proposition to consumers. Having said all that, I think we all know it's a very dynamic environment out there. I don't want to minimize the challenges we're facing in the marketplace and I think that's why we're being prudently conservative as we look forward. Consumers remain under severe pressure and consumer trade downs have modestly affected some of our brands, as Larry discussed. Foreign currencies continue to be very volatile and commodity costs have come down from their peak, but they still remain extremely unpredictable. And the strategies and strengths I just noted give me confidence that we're well positioned in what we all know is a very dynamic environment. Now looking to fiscal year 2010, we anticipate growth, albeit more modest on the top line, and we're focused on really building our margins, as Dan detailed; secondly, continuing to develop new products; third, communicating the affordability of our brands and product performance that consumers can trust; and lastly, maintaining or growing our market shares over time. I'm really still optimistic about our ability to deliver in this environment, execute our plans and drive long-term shareholder value. Now before I open up the line for questions, I would like to really touch on a topic that's been very much in the news and on people's minds in recent days and that's the swine flu. We've received a number of calls asking how Clorox is responding to this outbreak. We've been working very closely with public health organizations to support their efforts to educate the public about protecting themselves from swine flu. Interesting, yesterday the U.S. Environmental Protection Agency advised us that disinfectants that are effective against Influenza A are also effective against the 2009 H1N1 or swine flu virus. Now, with this we can now inform U.S. consumers and customers about our disinfecting products that can help prevent the spread of germs that cause H1N1 flu. The government website, www.pandemicflu.gov, also recommends several steps consumers can take to help protect themselves from flu, including disinfecting frequently touched surfaces with products like sodium hydrochloride bleach, which is the most widely available portable and certainly effective disinfectant on the earth. Now among the products consumers can trust to turn to are Clorox regular bleach and Clorox disinfecting wipes. This is also true in the away from home markets, where our products are increasingly used in hospitals and health care facilities. Customers can turn to Clorox commercial solutions, Ultra Clorox germicidal bleach and germicidal wipes and germicidal spray. In our International locations, our R&D and marketing teams are working together to communicate recommendations to local retailers with up-to-date information about the efficacy of our disinfecting products against this particular strain of flu. Now on the consumer front we're focused on supporting consumer education about the importance of disinfecting. In Mexico we are providing sodium hydrochloride bleach to several government and nonprofit agencies, including the Red Cross. We're also in contact with the American Red Cross and other international relief agencies to coordinate product donations as needed. In all of our company locations customer-facing and product-supply teams are working to assess product availability in the impacted regions so we can make sure that our products are readily available where consumers shop. We posted this information on our company website along with a more complete list of all of our products that are effective against the swine flu virus. So with that let me now ask the operator to open the lines up for your questions.
Operator: (Operator Instructions) Your first question comes from Bill Pecoriello - Consumer Edge Research.
Bill Pecoriello - Consumer Edge Research: Question: As you're looking into the fourth quarter and you talked about picking up the level of promotional spend, aside from trash bags, where you said you've rolled back again on May 1st, what other categories - bleach, wipes, liquid cleaners - where else are you seeing that you're going to have to adjust the promotional price points heading into the fourth quarter and what do you expect that pricing level to be versus what we saw in the third quarter when you were up 6%?
Larry Peiros: I think what we talked about is keeping a strong level or increased level of advertising support. I don't think we talked about trade promotion spending and, in fact, we don't expect significant increases in trade promotion spending in the fourth quarter. We didn't see that in the third quarter either. So most of this is advertising support - kind of brand building kinds of efforts. We did take the price rollback on Glad trash bags, which is the second rollback now on trash bags. We aren't anticipating taking rollbacks in other brands at this point in time and feel like we're in a good place from a value equation standpoint on our brands.
Bill Pecoriello - Consumer Edge Research: So in the other categories - you mentioned the four categories where you were losing share in the quarter and you also mentioned looking at the gaps - you don't see any increased promotional price points on any of those categories?
Larry Peiros: Nothing significant. We are increasing our advertising support, particularly on bleach, behind our two successful campaigns, one on the laundry side and one on the non-laundry side, but no significant change in our trade promotion support.
Donald Knauss: Bill, if you look at bleach in particular and you look at the last 13 weeks - and this is [FDKT], the average weighted price in the quarter, '09 versus '08 - the gap versus private label has expanded slightly. We're at a 31% premium versus 29% last year. So we're being mindful of that in trying to, as Larry said, that merchandising support is targeted to make sure that gap stays in that range and maybe reduces it slightly. But we feel like we're in pretty good position.
Bill Pecoriello - Consumer Edge Research: I just want to ask on the reallocating of shelf space, you had mentioned retailers in certain categories simplifying the shelves. Any categories in particular where you're seeing any big changes that can either help you in a positive or negative way?
Larry Peiros: I don't think I'd say anything dramatic. Again, we are seeing some of the smaller players, I mean, homecare is a category that just has an awful lot of churn all the time because of the number of new items coming in and we're generally seeing more of a focus on the bigger brands and some of the tertiary brands and even some of the tertiary vendors are being eliminated from shelves.
Donald Knauss: Bill, I'd just make one last comment. I know that Dan did mention increased merchandising spending in F1 '10. That's primarily to support the new product launches that we've got going out there.
Dan Heinrich: There is a planning provision in there for some level of increased trade spending to address any price gap issues that may arise in '10. That's more of a planning assumption right now versus any specific plans.
Operator: Your next question comes from Doug Lane - Jefferies.
Doug Lane - Jefferies: Going into the quarter were you anticipating that Burt's Bees would be down or did conditions get a little worse coming out of the December quarter?
Larry Peiros: Doug, I think we did anticipate a soft quarter given how much growth we saw in the year ago period. And we're obviously also seeing some slowdown in that category given the economic situation, as well as some destocking among retailers.
Doug Lane - Jefferies: But there weren't any account losses or anything of that size?
Larry Peiros: No. In fact, we're gaining distribution still in the U.S., gaining more Wal-Mart outlets, for example.
Donald Knauss: Yes, I think, just to add onto that, Doug, the various points, you know, when we looked at the year ago quarter, we had almost 30% growth, which is one of the highest quarters in the history of the company, so we knew we were going to be in for a tough sled in terms of a comp, especially in this environment. But to the point that Larry just made, we are gaining distribution. We're now expanding into the mass channel, as you know, and that continues to do well, so no distribution losses at all but more on the gain side.
Doug Lane - Jefferies: Now I know you're reluctant to talk about new products so far ahead of their launch, but can you just give us some idea of the scope of your sort of 15 key brands, how many are going to get this new product activity next year?
Larry Peiros: I would say as part of our plans for next year we have three what we would term hard conversions, so they're significant product improvements on some of our major brands that are significant enough to require changing UPC code and a hard conversion. So I would say focus on 60/40 wins on our base brands, supporting our base brand value equations with product improvements, so not necessarily taking the price down but improving the overall quality of the product, obviously critically important. Also you'll see at least one what I would term white space opportunity probably next year as well.
Dan Heinrich: And Doug, more broadly, I think if you look at our history across our portfolio, there is innovation in almost every category every year. Some of it's small. Some of it may just be a flavor improvement or a flavor change in salad dressing to perhaps something else much larger in the category, but I think when you look back at the end of fiscal year 2010 you'll have seen innovation in almost every category we participate in.
Operator: Your next question comes from William Schmitz - Deutsche Bank Securities.
William Schmitz - Deutsche Bank Securities: The first question, could you just talk about what your assumptions are for category growth next year because it looks like implied by the guidance is 3% to 4% volume growth? And then sort of connected to that question is I think your cost structure's roughly 50/50 fixed versus variable, so shouldn't there be actually some benefit also on the gross margin line from better manufacturing variances?
Larry Peiros: So on the category side, I think the implication you're getting from the outlook is right. So what we do see from a category perspective is internationally, as you know, we've been growing, well, we were in the double-digit range; we then moved into the high singles. We're projecting that those will continue to slow probably to about flat. So we are anticipating some category growth, obviously, domestically. It's going to be supported by new products and some of the other initiatives that we're undertaking. So we do see some growth in the categories over the fiscal 2010. With respect to you fixed versus variable, actually there were a lot more variable than the percentage that you gave. We're probably closer to 70% to 75% variable versus 25% fixed.
William Schmitz - Deutsche Bank Securities: And then just a follow up - and please don't kill me on this one - but can you give a timetable for the Green Works laundry launch and is that part of one of the three, big hard conversions?
Larry Peiros: No, that wouldn't be a conversion; that would be what I would term a white space opportunity if we were to move forward with that. We are in a small test market with a laundry product under the Green Works name. We haven't publicly announced any further expansion of that. We'll obviously look at those results before we make determination on how we move forward.
William Schmitz - Deutsche Bank Securities: What would the timing be if you did move forward?
Larry Peiros: Some time next fiscal year.
Operator: Your next question comes from Chris Ferrara - BAS-ML.
Chris Ferrara - BAS-ML: I just wanted to ask about some of the things on gross margin, I guess. Dan, did I hear it right? Did you say basically FX in manufacturing and logistics hit you by 200 basis points in fiscal 2010?
Dan Heinrich: You know, let me talk about the themes that fit inside gross margin and maybe this will help address your question. We're looking at 50 to 100 basis points for the full fiscal year. The pricing benefit will be less in fiscal '10 than '09 because obviously we're tapering off the pricing that we have taken domestically. International still has some pricing in there but, again, they're getting hit more on the top line. So pricing will be lower next year. As you look at cost savings, we clearly expect that we'll continue to see this, call it $90 million, $90 to $100 million or so cost savings that will sit inside the cost of goods sold. We do anticipate, again, that we'll have lower commodities year-over-year, again, stronger in the first half versus the second half. But we do have some other anchors against our gross margin. I mean, we have normal plant operating costs, logistics, manufacturing costs. We certainly have an impact from foreign exchange that sit in there. I mentioned earlier the trade spending assumption, which also nets through our gross margins. And there's probably a little bit of negative business mix, frankly, in fiscal '10. So when you add all those things together that's where we come out with the 50 to 100 basis points.
Chris Ferrara - BAS-ML: I hate to get so tedious, I guess it's just when you add up the positives that you guys are calling out, I mean, even if you assume that that pricing is netted out by potentially higher trade spending or higher merchandising as you support new product launches, the numbers still don't seem to add up. You seem to get more positives than negatives unless you have really a pretty big business mix negative. Am I missing any piece of that?
Larry Peiros: Well, again, we're projecting about a point increase in trade which is going to be in there. Foreign exchange, you know, it's a little difficult to precisely say what that impact will be but, you know, it will be at least a point. And then you have just a lot of other sort of normal inflationary pressures that exist in there, and then you have our commodities outlook. So I think if you do kind of run the math together you would see that we think the 50 to 100 is the right number for right now.
Dan Heinrich: Chris, this may not be the biggest number on the page, but we'll also experience some manufacturing costs and logistics costs related to those hard conversions that Larry mentioned. I guess I didn't specifically call that out, but there's costs associated with that as well.
Chris Ferrara - BAS-ML: And then just, I guess, one other quick one. I know you're taking pricing internationally, but for fiscal '10 do you think North America pricing will possibly slip negative for the year?
Larry Peiros: No, it's still projected to be positive for the year. It's the residual effect that we have from our fiscal '09 pricing actions, although the benefit will be a little bit lower in '10 now because we did the Glad trash price rollback.
Dan Heinrich: So most of the activity will be carryover from the current fiscal year, so price increases on things like Kingsford charcoal because of raw materials going up offset by the reduction on Glad trash.
Chris Ferrara - BAS-ML: And, finally, I'm sorry, I don't know if you said this already, bleach pricing, is there any outlook there? I mean, has there been any view as to whether that's sticking well still?
Donald Knauss: It's very stable. We've gone up in line with our price increase. Private label's gone up really exactly the same amount. So relatively speaking we have about the same premium as we had before.
Operator: Your next question comes from Ali Dibadj - Sanford C. Bernstein.
Ali Dibadj - Sanford C. Bernstein: In terms of the context of your '09 and '10 guidance as well as looking a little bit beyond, I mean, in this quarter you've had it looks like highest margins, like EVT margins, in North America in the past 30 quarters or so. Why after you get through the wage inflation and the hard turns and whatever you can't expect to get a higher gross margin than you've ever seen before?
Larry Peiros: I guess I'm not following you. Maybe you can ask the question differently.
Ali Dibadj - Sanford C. Bernstein: Yes, let me try it again. So you've gotten hit by, call it 1,000 basis points of commodities over the past several years. On the flip side, you've offset a lot of that with pricing. You've offset a lot of that with cutting costs throughout your organization and have more planned. If you're not going to have to rescind too much more of the pricing, which is your assumption right now, if you're not going to plow back too much more cost into the company at this point and if foreign exchange at some point evens out, aren't you going to get back even more than what you got hurt by commodities, i.e., your margins, your gross margins go to 50% plus rather than just back to the mid 40s as you've had historically?
Larry Peiros: Okay, I think I now understand the context of your question. You know, if you go back - I kind of use the 2003 - 2004 time period as the relevant period to look at. So as I mentioned in my prepared remarks, we were in the, call it low 46% range on gross margins that year and on our operating margins we were probably in the 21% range. If you look at the benefit in margins that we'll have this year, you know, depending on where we come out in that range, we'll probably see our gross margins somewhere around 43% if our projections are right. And then if you take the high end of next year range you would say we would be in the - you know, if you take the 100 basis points high end - we should be somewhere around 44% gross margin. On the operating margin side, that's probably good enough to keep us in the low 20% to 21% range. So at least over the next two years, next year and a half or so as we look out, what that says is while we're rebuilding our margins we're still not back to the levels that we saw really in fiscal 2003 - 2004. Now as we look forward we continue to feel really good about our cost savings pipeline and we're making a lot of investments in our infrastructure now that will provide benefit in those out years. Again, our thesis right now, other than the handful of price adjustments that we've made, we're not anticipating that we're going to see much in the way of price giveback. But we do expect that there will be a recovery and we will see some upward pressure on commodity costs so that we need to balance that out. Certainly currency has been a headwind and at least over the next year or so we expect that to continue to be a headwind and then we'll see where it goes in the out years. The pricing we're taking in fiscal '10 is related primarily to the foreign exchange impacts. To the extent that those foreign exchange impacts lessen then we'd probably take less pricing, so there'd be an offset there. So, I guess, longwinded explanation, over the next could of years, yes, I do see a path forward to us rebuilding back towards our fiscal 2003 margins and we'll have to see, ultimately, whether in fact we can get above those levels, at least, you know, as we look out over the next 18 months to two years or so.
Ali Dibadj - Sanford C. Bernstein: But philosophically you don't see your categories necessarily creating, I guess, a ceiling on your gross margins beyond - I'm talking more normalized kind of longer-term year.
Dan Heinrich: You know, the one category we always talk about, obviously, is Glad and that's one that is so tied to commodities you have to determine what commodities cost assumption you want to use for that. But no, we don't see some inherent cap that sits on our other categories and, in fact, over time we would expect the change in business mix we're making in the portfolio will be beneficial. I mean, a lot of what we're doing around Green Works, around natural personal care, the other extensions that we're getting into, sustainability, are really about getting into some faster-growing higher-margin areas which we think will benefit over time.
Ali Dibadj - Sanford C. Bernstein: More immediately, I guess, over the next couple quarters, a year, you mentioned inventory workdowns and the hard changeovers, how much of the inventory workdowns really impact margins? [Inaudible] mentioned this a little bit, but I'm thinking of this in the context of the fact that you guys outsource, what is it, 20% to 25% of your domestic operations, your domestic manufacturing operations? Is that outsourced bit aligned with where you're doing the conversions or is it completely separate? How should we think about that?
Dan Heinrich: Let me take that question. You know, the types of costs you incur when you do a hard conversion is obviously you need to sell through all the existing inventory, so typically there's some trade merchandising adjustments that need to happen there. You're also building a lot of new inventory for the lots, so you have additional manufacturing and warehouse costs associated with that. And in terms of the contract manufacturing, probably 30% to 35% of our manufacturing is contract manufacturing, so on a relative basis, to the extent any of these products we do involve a contract manufacturer, those costs are still there whether they're in our system or whether they're in a contract manufacturer's system.
Ali Dibadj - Sanford C. Bernstein: So some of the changes may be in the contract manufacturer, but you're still going, in some sense, foot them?
Donald Knauss: There's just a general period of inefficiency as you're making that migration. Again, it's not dramatic, but it is something that needs to be accounted for and it would be no different whether it's in our own plant or at a contract manufacturer's facility.
Ali Dibadj - Sanford C. Bernstein: A last quick question from me, at least, is it looks like you're taking down debt for sure; good cash generation in this quarter. Do you have a hard point at which you say look, we're going to buyback some stock or we're going to acquire something?
Dan Heinrich: You know, I would say as we look out we're feeling good about the cash generation level and we are paying down debt. Assuming no acquisitions in fiscal '10 and no share buybacks, we would expect to be below 2.5 times debt-to-EBITDA. What we've talked about in the past is wanting to live inside 2.5 to 3, even with acquisitions, so I would say probably some point sort of mid-fiscal '10. I think we'll be creating flexibility at that point in time that if we want to reconsider share repurchases or do maybe some small bolt-on acquisitions we would be in a good position to do so at that time.
Donald Knauss: The only thing I'd add to that, Ali, is in addition to that we're obviously focused on continuing to support the dividend as well.
Operator: Your next question comes from Alec Patterson – RCM.
Alec Patterson – RCM: Dan, I guess, for you, just trying to get my hands around the FX flow through here. For starters, the $12 to $14 million pre-tax, that's all in the fourth quarter of this year, '09?
Dan Heinrich: Yes, that is in Q4.
Alec Patterson - RCM: And then the $20 million for the following year, that's all based upon the futures' market as opposed to the current spot price, correct?
Dan Heinrich: Yes, we're factoring in, using the best projections we can out there. We don't have any particular view on currencies. We generally take the market's view of where those currencies will be and build those into our outlook.
Alec Patterson - RCM: And is all $20 million flowing through cost of goods?
Dan Heinrich: No, that's a net earnings impact so it's going to be top line margins, operating costs as well as impacts from transaction losses. We're trying to give you a net earnings impact because it's pretty hard to try to model it through all the lines in the P&L.
Alec Patterson - RCM: Understood. So the transaction impact that you're trying to isolate there is maybe more of a below-the-line item?
Dan Heinrich: The vast majority of the $20 million for next year - more than $20 million next year - is going to be up above; it's not going to be below the line. More of the impact this year, at least in the fourth quarter, that will be below the line.
Alec Patterson - RCM: And that relates mostly back to Venezuela?
Dan Heinrich: That's the biggest, yes.
Alec Patterson - RCM: And the restructuring plans for next year, they're embedded in the earnings guidance and do I have the number right, approximately $0.11 a share.
Dan Heinrich: It's about, yes, $20 to $30 million is the planning assumption we have for restructuring next year so depending on where in the range we come out that sounds pretty close.
Alec Patterson - RCM: And then your destock and restock for your hard conversions, net of all that through the year I would presume that you're positioning yourself for a higher net sales position across those product categories?
Larry Peiros: Well, certainly that's the intent for a new product launch would be to grow sales over time. We will have an impact in Q2. We expect to recover that in the second half of the year and we hope all of these things are successful so that they do grow sales.
Alec Patterson - RCM: What I mean is that the timing of it is such that the recovery, the restocking effect will all be captured within the fiscal year?
Dan Heinrich: Yes.
Larry Peiros: Certainly the restocking effect, absolutely.
Alec Patterson - RCM: And lastly, for 2010 on all the guidance you laid out, any comments about, at least sequentially or anything on trend wise for economic profit?
Dan Heinrich: I'm just trying to think. Again, we don't calculate that quarterly; it's for a full year. So I don't really have a sense of first half, second half. It really depends on our investment patterns, I guess. What I would say, though, on economic profit is we're down this year because we have the full year effect of Burt's Bees in our invested capital base. Next year we would expect to start growing economic profit because Burt's will fully be in the base.
Donald Knauss: Yes, I would fully expect it, Alec, to be up in the high single digits along with where the EPS range is at least.
Operator: Your next question comes from Linda Bolton Weiser - Caris.
Linda Bolton Weiser - Caris: I was wondering if disinfecting wipes is one of the categories that maybe has seen some shelf space reduction at retail? We thought we saw at Wal-Mart that it had significantly less space and it looked even like perhaps Rediwipes was eliminated from the shelf. Can you comment on that and is that similar type thing going on in other channels of distribution?
Larry Peiros: I would say no big shifts in wipe distribution. We've been focused on trying to create a separate kind of four-foot section in most retailers. I think we continue to make progress against that objective. Wipes seem to be a very important category and obviously with this whole flu issue around, it could be even more important in the short term. So no big shifts.
Linda Bolton Weiser - Caris: How is your wipes performance in the fiscal third quarter?
Larry Peiros: Wipes was down slightly and we're still up on the fiscal year-to-date.
Linda Bolton Weiser - Caris: Is the category growing or declining?
Larry Peiros: The category has been declining slightly.
Donald Knauss: Linda, overall, our wipes business from a share standpoint is still very strong, right around 50%. What we think we're seeing a little bit of now is maybe trade down among consumer behavior, where people may be choosing to use a spray cleaner, maybe use a dilutable cleaning product. It's a little bit more cost-effective for them in this environment. But fundamentally our wipes business is extremely healthy and, as Larry noted, given the unfortunate situation right now with swine flu, it may actually be used even more greatly by consumers.
Linda Bolton Weiser - Caris: And then I was just curious how you view the SC Johnson competitive product in the natural cleaners area. How do you view that they're making headway? Are they gaining share? Can you just comment on that?
Larry Peiros: They obviously have established some share; I wouldn't call it a very high share. And our share is stable or actually even up a little bit despite their launch, so the share they're getting is coming at the expense of other players in the category.
Operator: Your next question comes from Nik Modi - UBS.
Nik Modi - UBS: Just two questions. I've seen, obviously, some personnel changes in the areas that are important to the cost savings side, so just curious if you can comment on that, Don, in terms of any replacements and how you're looking at that? And then the second thing is just on the trade promotion piece that you have for fiscal '10, do you have programs in place or are you kind of working on any trade optimization or trade efficiency programs and can you share some perspective around that as well?
Donald Knauss: Let me let Larry jump in first on the product supply change in leadership.
Larry Peiros: As you may have heard, we did lose our VP of Product Supply; he has gone to a competitor. But we have a very ready and able replacement in place. The very morning the previous VP of Product Supply announced his resignation we promoted a successor. So I think we're in very good shape.
Donald Knauss: And I would say on the cost savings program, this is an extensive program throughout the company. It's not dependent on any one individual and we feel really good about the plans that are in place. And then you asked a question on trade promotion - could you ask that question again?
Nik Modi - UBS: Yes. I was just curious. Clearly, you're ramping up for at some contingency on trade promo; just curious if you also have programs in place to maybe enhance the efficiency. I know companies are always working on that, but just curious about where you are.
Larry Peiros: Yes. We don't talk about it as much, but we've been working for years on being more efficient in our trade spending, looking at the returns, making sure that we optimize in there and we continue to do that and it continues to be a focus area for us. The one thing we are doing among the IT projects that we're working on is a replacement and upgrade of our trade merchandising system and we think that system will give us some more automated real-time tools that will allow us to be even more efficient and mine the data even better than we do today. So clearly it's an area we continue to focus on. We actually think we do pretty well in this regard and we think we can get better over time. And, again, I'd just like to come back to the fiscal '10 trade merchandising increase that we've talked about and referred to. The vast majority or a big chunk of that increase is really to support new products, so I just want to emphasize that the ramp-up you see is tied to product introduction, not any sort of general inefficiency in the system. And there is a planning contingency in case we need to do something on price gaps or things like that.
Nik Modi - UBS: And just a last question. We've picked up just some pretty drastic movement in terms of retailers, as you talked about, Larry, getting rid of tertiary players but also getting rid of maybe the second-biggest brand in the category in certain chains. I'm just curious if you can comment on that; whether you want to get specific or not is up to you, but just curious if you can make any comments around that.
Larry Peiros: Again, we haven't seen any material change in our distribution.
Nik Modi - UBS: I'm talking about your competitors, I'm sorry.
Larry Peiros: Customers are definitely continuing to look at assortment. This has been an issue for many, many years. I think in the current economic environment, given the carrying cost of inventory and other things they're looking harder and harder at assortment issues. We feel very good about where we're positioned with our brands and our categories to deal with that and, again, most of the impact has been on these tertiary kinds of players. I haven't seen any, you know, there's been a few limited places where retailers have gone to very reduced [inaudible] but I wouldn't say a huge impact to date.
Operator: Your next question comes from Lauren Lieberman - Barclays Capital.
Lauren Lieberman - Barclays Capital: Just, first, a quick follow up on the wipes commentary. Were you selling in the Green Works wipes in this quarter?
Larry Peiros: Yes.
Lauren Lieberman - Barclays Capital: It just surprises me that wipes would - and it's not that big of a deal - but would have been down slightly even with the sell in.
Larry Peiros: When I spoke to wipes, that was Clorox wipes. It was not including those.
Lauren Lieberman - Barclays Capital: The second thing was just in terms of pricing dynamics in Glad trash, I got a little bit confused, I want to say honestly over the last couple of months, at the timing of you and your largest branded competitor rolling back pricing, so with the change you're making today, where does that put you versus Hefty? Have they already rolled back that similar rate of increase or are you leading this time because the Nielsen data is very difficult to really see what's truly happening.
Larry Peiros: I would say for the past quarter we've basically [inaudible] parity to Hefty with a significant premium. Both of us have a significant premium versus private label, but that premium has come down a bit versus the previous quarter. I will tell you that it's hard for us to track Hefty because they operate differently than us and they often spend specifically to, you know, individual customers. But the best data we have is for the last quarter we're a sense of parity to Hefty.
Lauren Lieberman - Barclays Capital: Okay, and so from here is it - so this is more of a preemptive change based on what you're seeing in resin costs.
Larry Peiros: I think we fully expect that they will come down in price and we're seeing some signs of that but, again, it's anecdotal at this point. We don't have the real IRI or Nielsen data to validate that.
Lauren Lieberman - Barclays Capital: And then how about for private label, same thing or have you seen them start to move?
Larry Peiros: Private label has moved for sure. Obviously, private label is different by count, so it can vary dramatically, but we have seen some specific move on the part of private label. Again, if you looked at the quarter, our gap versus private label is not that different than it was a year ago. It's actually a little bit improved in the case of the mid-count size.
Lauren Lieberman - Barclays Capital: And then just one follow up on the FX, the transaction losses for Q4 in Venezuela. So what changes that that wouldn't persist, because I would think you still need to get your hands on dollars in the country and there isn't much seasonality in that business, so I wouldn't think there'd be much change in terms of your needs for dollars and potential need to go to the secondary market.
Dan Heinrich: Yes, Lauren, what I would say is we've been carrying a cash balance in Venezuela, so it's built up over time. We were trying to use the official government mechanism for repatriating those funds at the official exchange rate and what we've seen is further restrictions on how much you can convert and really it gets back to what the dollar reserves of Venezuela are, so they've been contracting your ability to cash out at the official rate. So what we've concluded is it's time to move the cash out of Venezuela to pay off the U.S. dollar-denominated liabilities that they have. Our operating posture going forward is we'll probably repatriate on a much more frequent basis, to not let the cash build, to lower the risk in the country.
Lauren Lieberman - Barclays Capital: Okay, so more the repatriation than dollars needed for day-to-day operation?
Larry Peiros: Again, there's an outsized impact in Q4 because we had higher balances; however, those balances are to pay off the U.S. dollar-denominated purchases that have gone into Venezuela.
Dan Heinrich: So, Lauren, said another way, we're still going to have this effect going into fiscal '10. It's just you won't have this backlog of payables that exists right now. It'll be more just [break in audio].
Lauren Lieberman - Barclays Capital: Okay. And probably more able to do it on the official rate because the magnitude will be smaller?
Larry Peiros: Certainly we'll try to maximize, to the extent we can, what we can bring out at the official rate.
Operator: Your next question comes from Alice Longley - Buckingham Research.
Alice Longley - Buckingham Research: My question is about the 3% to 4% volume increase you're projecting for next year. Are you assuming in there that as you're pricing in the U.S. anniversaries that volume will come back for brands where volume has been down you think because of the pricing?
Larry Peiros: Absolutely we're anticipating in fiscal '10 as we lap those prices that we'll see a return to normal purchase behavior and we'll see a return to volume growth in those categories where we took pricing. And obviously that outlook also includes the impact of new product launches.
Alice Longley - Buckingham Research: Well, aside from the launches, why are you sure that that will happen as opposed to maybe in this kind of a tough environment consumers will stay with the lower-priced brands?
Dan Heinrich: We've been doing pricing for a number of years now using a pretty detailed model to get at this. And essentially you do see some dissipation of the pricing effect over time, and so we're basing this on the models that we've run on these brands. We've validated this now, fortunately, way too many times - I think we've taken 40 price increases over the last three to four years. So we feel pretty good about how the models work. Now, could there be a sea change because of the economic environment? We're not really seeing that as yet. If things got much worse, I suppose that's a possibility but we're feeling pretty confident that things will bounce back relatively speaking.
Alice Longley - Buckingham Research: And you've adjusted that model for recessionary periods?
Dan Heinrich: We've adjusted it based on the best data we have today, so we're reflecting what's - we've been in a recession for about a year now; it's reflecting that current data.
Alice Longley - Buckingham Research: And then my next question is Burt's Bees. Can you tell us what the growth of Burt's Bees is or has been this last quarter at retail and how you get it because Burt's Bees, of course, is distributed all over the place, not only in tracked channels and Wal-Mart, but all kinds of small retailers, so how do you really track how it's doing in terms of gross at retail and what have those numbers looked like?
Larry Peiros: We definitely don't have the detailed data on Burt's that we have on our other businesses, so we sometimes extrapolate a little bit to get at the numbers. We do think that overall the category of natural personal care has slowed down. It does seem to be growing still faster than traditional personal care categories, but it definitely slowed down over the period of the last 52 weeks. If you looked at 52-week data, you'd see about 10% growth and closer to low single digits or flattish kind of growth in the last quarter. Having said that, we also believe based on our extrapolation of the data that we've gained share in that category.
Alice Longley - Buckingham Research: So you think your sales were up mid single digits at retail in the quarter from Burt's Bees?
Larry Peiros: Probably low single digits would be our best guess.
Donald Knauss: That's where we think the consumption was, yes.
Operator: Your next question comes from Connie Maneaty - BMO Capital Markets.
Connie Maneaty - BMO Capital Markets: Just another question on these hard conversions. When was the last time you had one and what was the category it was in?
Larry Peiros: If you remember, the Sure Fire launch in Kingsford charcoal product, where we essentially changed from a certain kind of briquette to a redesigned briquette that was more efficient and caused us to change the weight of the various sizes. So whenever you change the weight of a product is one of example. You're required to change the UPC code on that product, and so that would be a hard conversion.
Connie Maneaty - BMO Capital Markets: This time are the conversions in three separate categories?
Larry Peiros: Yes.
Connie Maneaty - BMO Capital Markets: And one follow up also on Venezuela. Since you use outside currency advisors and you're taking down your cash balances pretty dramatically there, are you getting a sense from them that a devaluation in Venezuela is more likely now than it was a few months ago?
Dan Heinrich: You know, Connie, I'm not a foreign exchange forecaster and I've done a lousy job over my career trying to figure out when devaluations occur. What we do know is the spread between the parallel market and the official rate has been growing over the last 12 months or so, so obviously as oil prices have come down it's put further strain on that. So, you know, one would look at the spread and say at some point realistically you would expect to see an adjustment, but I couldn't tell you when or whether that in fact will happen. So I don't know that I have a good outlook for you, but we're trying to manage the business and we think about the business assuming the parallel rate is the right rate and we're making our economic decisions around that parallel rate.
Connie Maneaty - BMO Capital Markets: Have you calculated what a 30% devaluation or more would mean to the business itself?
Dan Heinrich: Yes.
Connie Maneaty - BMO Capital Markets: And what would that be?
Dan Heinrich: I'm not going to share that level of detail.
Connie Maneaty - BMO Capital Markets: Okay, so we'll just wait for the headlines.
Donald Knauss: But, Connie, to be clear, Venezuela for us is about 1% of sales, so you have to think about that order of magnitude.
Connie Maneaty - BMO Capital Markets: I know, but 1% of sales is - it's 1% of sales for a lot of companies and it's causing a major ruckus. I mean, is it worth being in Venezuela if it's that small?
Dan Heinrich: You know, Venezuela's been a very strong growth market for us over the last several years and I think from a business standpoint they're a key growth driver for our Latin American market. It's been a very successful market for us.
Larry Peiros: Yes, I would say we have very strong leading brands in Venezuela. Our margins are good. Obviously, the currency has been impacted and you have to deal with those when they occur, but actually the business is very solid down there and we've had some success of trying to price through to recover some of the currency impacts that we've seen. But it remains a difficult market.
Operator: Your next question comes from Chris Ferrara - BAS-ML.
Chris Ferrara - BAS-ML: Can you just give a quick revisit of the distribution rollout schedule for Wal-Mart, where that's pacing and where you are and what's left for Burt's Bees?
Larry Peiros: Right now, Chris, we're in about 2,500 Wal-Marts, with a broader product line than the lip balm, which is essentially in all 3,500 Wal-Marts at the checkout stands. What is being changed in a number of those 2,500 stores right now is the modification of what the natural personal care section looks like. A lot of those sections were originally or at four-foot sections and a lot of them are being modified to eight-foot sections for the category, so that work's going on right now and that'll continue for a few months. But right now we have an expanded line beyond the checkout in about 2,500 and we think that's the right amount of stores based on the demographics around those stores to stay at.
Chris Ferrara - BAS-ML: So it sounds like you're a large part of the way through where you started anyway. Is that right and when did you get there, if that is right?
Larry Peiros: Well, we're just getting there on the 2,500 stores. Again, I think the big next wave is as those stores re-foot their sections into eight-foot sections, that could have a dramatic impact on what happens with volume in those stores. So I think that's the next wave. That'll take us several months to work through that with Wal-Mart. That work's going on right now. I think it's consistent with our model on Burt's Bees saying that we believe over the next several years about 50% of the growth is going to continue to come from new distribution.
Operator: Your next question comes from William Schmitz - Deutsche Bank Securities.
William Schmitz - Deutsche Bank Securities: Can you just tell us what the incremental incentive compensation cost and pension cost is going to be in 2009 now that the market's kind of moved a little bit on the pension side and also you increased your incentive comp, I guess, this quarter.
Dan Heinrich: Yes, incentive comp, we've increased our levels, but it's still below the levels that we had last year. So it's kind of a moving target depending on where we come out, but we're probably accrued at about 70% to 80% of the level we were last year. For obvious reasons I'm not going to go into specific dollar amounts here, but we are down on what our accruals are. On the pension expense side we don't have an impact this year from it because under the actuarial method that was established July 1 of last year. We do anticipate, however, that next year we will see an increase in the pension. I think on the last call I talked about a possible $10 to $20 million impact from that. That estimate was based on where the market was in the last earnings call. We've seen some recovery in the market and we're putting $30 million into the pension plan here in the fourth quarter, so we should benefit from that when we do the next actuarial valuation in July. And my sense is right now that the incremental expense will be lower than that range I gave to you last time.
Jason Gere - Wachovia Capital Markets, LLC: Okay, got you, because I think last quarter you said that the elimination of the incentive comp was $7 million.
Dan Heinrich: Yes, I mean, that's probably reasonably close on a dollar basis on the impact last quarter.
Operator: (Operator Instructions) We currently don't have any further questions in the queue.
Steve Austenfeld: Okay, why don't we conclude then.
Donald Knauss: All right. Well, thanks, everyone, for joining the call. I think we feel obviously very good about the quarter. Based on some of the reaction there's obviously been some disappointment about the FY '10 outlook. I think we all feel we're being prudently conservative in that outlook. I think you all know there are a number of moving parts in the business and, with the volatility we've seen in commodities and currencies and consumer spending in general over the last six to nine months, we think our FY '10 outlook, which is high single digit EPS growth on top of this year's mid teens EPS growth is a very strong performance in any environment, let alone the worst recession in 75 years. So we feel very good about where we are. We think we have very solid plans in place to deliver that plan for next year and we'll look forward to talking to you on the next call and seeing most of you, probably, at the analyst meeting in June in New York. Thank you, everyone.
Operator: That does conclude today's conference. We thank you for your participation.